Operator: Good day, and thank you for standing by. Welcome to the Acadian Timber Fourth Quarter 2022 Analyst Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Ms. Susan Wood, Chief Financial Officer. Please go ahead.
Susan Wood: Thank you, operator. Good afternoon, everyone, and welcome to Acadian Timber's fourth quarter conference call.  With me on the call today is Adam Sheparski, Acadian's President and Chief Executive Officer.  Before discussing Acadian's results, I will first remind everyone that in discussing our fourth quarter financial and operating performance, the outlook for 2023 and responding to your questions, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on our known risk factors, I encourage you to review our news release and MD&A, which are available on SEDAR and on our website, at acadiantimber.com.  I'll begin by outlining the financial and operational highlights for our fourth quarter ended December 31, 2022. Adam will then comment on our results for the year and our outlook for 2023.  The fourth quarter was a particularly challenging quarter for operations with the impacts of limited contractor availability being exacerbated by unfavorable weather conditions, including a late start to winter, particularly in Maine. Though harvest levels were below our targets Acadian experienced steady regional demand and increased pricing for its key products.  Sales for the fourth quarter were $23.8 million compared to $25.9 million in the prior year period. Sales volume, excluding biomass, decreased 26% compared to the prior year period, primarily as a result of limited contractor availability, combined with the delayed start to winter, which impacted both harvesting and hauling activities.  Weighted average selling price, excluding biomass, increased 17% year-over-year, benefiting from strong sawlog prices and improved pulpwood prices driven by strong demand as well as the recovery of elevated fuel costs from our customers. Overall pricing for softwood sawlogs and softwood pulpwood increased 19% and 16%, respectively, compared to the prior year period due to strong demand. We also continued to experience solid demand for our hardwood sawlogs, which combined with our continued merchandising efforts has resulted in hardwood sawlog pricing increasing 16% overall compared to the prior year period.  Decreased inventories due to the lack of harvesting throughout the region contributed to an increase in hardwood pulpwood pricing of 23% over the prior year period. Biomass sales volumes were up 25% compared to the prior year period as a result of improving market conditions during the quarter, with pricing increasing by 8% year-over-year allowing us to begin increasing shipments to our customers.  Operating costs of $19.8 million in the quarter were consistent with the prior year with the decrease in harvesting activity offset by higher contractor rates and fuel cost adjustments paid to contractors. These higher costs drove a 27% increase in weighted average variable costs as compared to the prior year period.  Adjusted EBITDA totaled $4.1 million during the quarter compared to $6.3 million in the prior period. Adjusted EBITDA margin for the quarter was 17% compared to 24% in the prior year period. Our net income for the fourth quarter was $22 million compared to $6.5 million in the prior year period. The increase in net income was largely due to the impact of higher gains on noncash fair value adjustment in 2022 compared to 2021, resulting from the increased fair value of our timberlands, offset by lower operating income due to lower harvesting activity.  Acadian generated $2 million of free cash flow and declared dividends of $4.9 million to our shareholders during the fourth quarter, or $0.29 per share.  I will now move into the fourth quarter results for our New Brunswick operations. Sales for our New Brunswick Timberlands were $18.6 million compared to $18 million during the prior year period. Sales volume, excluding biomass, decreased by 10%, primarily due to limited contractor availability in the current period. With regards to softwood sawlogs, demand remained strong. However, sales volumes decreased by 15% due to the limited trucking contractor availability.  As mentioned in prior quarters, there's an increased regional demand for softwood pulpwood, resulting in volume increases from 13,000 cubic meters to 22,000 cubic meters compared to the prior year period. Hardwood sawlog volumes in New Brunswick decreased by 16% and hardwood pulpwood sales volume decreased by 21% being negatively impacted by limited contractor availability. However, demand has strengthened and due to the shortfall of supply in the region, prices increased by 18%.  Operating costs in the fourth quarter totaled $14.9 million compared to $13.6 million in the prior year period, reflecting higher contractor costs and higher land management costs. Weighted average variable costs, excluding biomass, increased 29% as a result of higher contractor rates and fuel adjustment costs paid to contractors compared to the prior year period.  New Brunswick's adjusted EBITDA in the quarter was $3.8 million compared to $4.6 million in the prior year period. Adjusted EBITDA margin was 20% compared to 25% in the prior year period.  Switching over to Maine, sales during the fourth quarter totaled $5.2 million compared to $8 million in the same period last year. Sales volume, excluding biomass, decreased 52%, also reflecting limited contractor availability, but was also combined with unfavorable weather conditions. These factors resulted in softwood sawlog volumes in Maine, decreasing by 62% as compared to the prior year and softwood pulpwood volumes decreasing by 48%, although softwood pulpwood volumes are relatively modest.  Hardwood sawlog volumes decreased by 66% for the same reasons. Hardwood pulpwood sales volume decreased by 20% compared to the prior year period. However, with strengthened demand, price increased by 18%. The weighted average selling price, excluding biomass, in U.S. dollar terms increased 23% compared to the prior year with higher prices across all products benefiting from favorable market dynamics as well as fuel cost recovery from customers. In Canadian dollar terms, prices increased 32%.  Operating costs totaled $4.5 million in the quarter compared to $6 million during the same period last year, primarily due to lower harvesting activity offset by higher contractor and land management costs. Weighted average variable costs, excluding biomass, increased 32% primarily as a result of higher contractor rates and fuel adjustment costs paid to contractors. Adjusted EBITDA for the quarter was $0.8 million compared to $2.1 million during the prior year period, and adjusted EBITDA margin was 15% compared to 26% in the prior year period.  With respect to Acadian's financial position at the end of the quarter, it remained strong, ending with a net liquidity position of $19.5 million, including a cash balance of $6.2 million in our revolving credit facilities, which remain undrawn. The DRIP was in place for three quarters during the year and contributed $3.4 million to our liquidity.  As a final note and as a reminder, in the current interest rate environment, Acadian's debt has fixed rate terms expiring in 2025 through 2030.  With that, I will now turn the call over to Adam.
Adam Sheparski: Thank you, Susan, and good afternoon, everyone. As Susan mentioned, I will first comment on our 2022 results and then move into our outlook for 2023.  As always, Acadian remains committed to health and safety as our number one priority. During the fourth quarter, there were four recordable safety incidents amongst our contractors. The incidents were mostly minor slip and falls that resulted in minimal lost time. However, incident reduction will be a primary focus for our team in 2023. As we have said before, we believe that emphasizing and achieving an excellent safety record is a leading indicator of success in the broader business.  With respect to fiscal 2022, it was an operationally challenging year, not only for Acadian, but for the Northeast forestry industry, with contractor availability issues beginning in the first quarter and persisting through the remainder of the year. These issues were combined with warm and wet weather in the fourth quarter that significantly impacted the industry and the volumes we were able to deliver to our customers. However, as Susan discussed, we continue to see strong demand and pricing across our key products increased throughout the year.  As a reminder, demand for our softwood sawlogs is driven primarily by regional dynamics. And although softwood lumber pricing decreased from recent highs to more normalized levels, demand for softwood sawlogs remained stable and pricing increased in the regions in which Acadian operates. Demand for softwood pulpwood continued to strengthen and both volumes and pricing increased over the prior year.  Similar to what we experienced with softwood sawlogs, and despite volatile hardwood lumber markets in the second half of the year, demand and pricing for Acadian hardwood sawlogs also continued to increase.  Contractor availability issues were not unique to Acadian and the overall lack of harvesting in the region resulted in decreased roundwood inventories, which in addition to increasing demand for sawlogs it also drove an increase in demand for pricing for hardwood pulpwood.  During fiscal 2022, Acadian generated sales of $90.5 million compared to $95.7 million in the prior year. Sales volume, excluding biomass, decreased 13%, primarily as a result of the factors previously discussed. Acadian's weighted average selling price, excluding biomass, increased 12% over 2021 due to strong demand across all products as well as the partial recovery of elevated fuel costs from our customers.  Increasing costs across the business, including fuel costs and contractor rates, further impacted our results. However, our team worked hard to control these costs and where increases were unavoidable to recover these costs from our customers. Adjusted EBITDA for the year ended December 31, 2022, was $18.2 million compared to $22.5 million in the prior year. While adjusted EBITDA margin was 20% compared to 23% in the prior year as a result of decreased volumes in 2022.  We generated free cash flow of $12.2 million compared to $16.9 million last year and declared dividends of $19.5 million to our shareholders. As we discussed in previous quarters, Acadian advanced its first carbon development and marketing project on the approximate 190,000 acres of the main timberlands that are subject to a working forest conservation easements. We are currently at the registration stage. And although the timing is somewhat later than we had originally expected, we are nonetheless pleased with the expected outcomes of the project.  Projected credit volumes have been verified by an independent third party and registration of the first 713,000 credits is expected in the first quarter of 2023. Following registration, the credits will be immediately available for sale. We have always referred to this as a training wheels project and it has provided valuable experience to Acadian and has formed the foundation for any potential further carbon credit development projects.  Turning to our outlook for 2023, we are all well aware of the interest rate hikes in both the U.S. and Canada during 2022 to try and curb inflation, which has slowed housing sales and price growth. Our forecast in the U.S. housing starts have been lowered to approximately 1.24 million starts in 2023 as compared to 1.55 million in 2022. These estimates are still consistent with pre-pandemic historical levels.  Accordingly, we remain confident that the stability of the Northeast forestry sector, combined with the long-term demand for new homes and repair and remodel activity will support the demand for and pricing of our products. However, given the short-term pressures from end-use markets, we may experience some slight pricing pressures. Though decelerating, inflation is expected to remain a challenge in the near term and to continue to exert pressure on our financial results through elevated contractor rates and fuel surcharges that we pay our contractors. However, we will continue our efforts to recover these incremental costs from our customers to mitigate this impact.  Labor shortages resulting in limited contractor availability throughout the region is expected to continue as the industry works to resolve the issue. However, we have already begun to increase contractor capacity with expectations of further improvements in 2023. Based on regional market dynamics, the stable softwood and hardwood sawlog demand and prices experienced in 2022 are largely expected to continue into 2023.  Despite normalized softwood lumber prices, we continue to see stability in our sawlog prices with potential modest increases in the near term. The impact of market uncertainty on hardwood lumber prices may result in a softening of the hardwood log markets. However, prices are expected to remain above historical norms. And hardwood and softwood pulpwood markets are expected to remain strong into 2023 in light of supply shortfalls.  In closing, through 2023, we will continue to actively work with our contractors to find innovative solutions to meet the delivery demands of our customers, including increasing our contractor capacity. Our focus will remain on merchandising our products to obtain the highest margins available and making improvements throughout the business to maximize cash flows from our existing timberland assets.  We are always exploring opportunities for growth, both internally and externally, with a disciplined and prudent approach and we'll use the experience gained from our first carbon credit project to determine our next steps. At Acadian, we have the team, the assets, and the balance sheet to successfully weather challenging operating or market conditions as they arise, and we are dedicated to providing long-term value for our shareholders.  With that, we are now available to take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Gabriel Nielson with CIBC.
Gabriel Nicholson: Hey, good afternoon, Susan and Adam. Hope you are doing well? 
Adam Sheparski : Great, thanks. Hey, Gabriel.
Gabriel Nicholson: On the 0.7 million carbon credits, do you expect to collect those revenues in the first quarter? And then also just a bit of a follow-up, I was looking at pricing, and you indicated last year, pricing was in the high-20s. What is pricing looking like today?
Adam Sheparski : Yes. Thanks, Gabriel. We have a third party selling those credits for us as we introduced the project a number of quarters ago. As we mentioned, we're hoping to have them finish being registered in the first quarter, which would make them available for sale immediately. Not quite sure whether they'll be sold in the first quarter and then there will be a little bit of a delay for payment, I assume, just from changing hands as far as cash from that third party to us.  And then -- sorry, the second part of your question, Gabriel?
Gabriel Nicholson: Just on the pricing front.
Adam Sheparski : Sorry, yes. And from a pricing perspective, we understand for the carbon credits that we are producing, the pricing is still in that mid-20s range.
Gabriel Nicholson: Okay. Great, great. And then turning to New Brunswick, do you have any visibility on the timing for stumpage changes in the province coming up?
Adam Sheparski : The next change will come in the spring. Technically, the government year is March -- end of March 31. I'm not sure if that's exactly when they plan on making the change. We'll see. The last change we thought was going to come in from March 31 was a little bit later. So I'd hate to actually try and figure out exactly when it's going to happen, but it should come in the spring we expect.
Gabriel Nicholson: Okay. Yes, for sure. Okay. Great. Thanks. With that I'll turn it over.
Adam Sheparski : Thanks, Gabriel.
Operator: Thank you. [Operator Instructions] Our next question comes from Paul Quinn with RBC. Your line is open.
Paul Quinn: Yeah, thanks. Good morning, guys. Or at least it's morning where I am. This carbon credit thing, is this a one-timer, is it annual, quarterly? Or how does that work?
Adam Sheparski : Yes. Hi, Paul. How are you? As we outlined in our press release back in September, we have about 10 years of developing credits under the current project. We have a big upfront registering credit this quarter, hopefully, the 713,000. And then over the next 10 years, the volumes decrease every year, but this credit -- this project will produce we expect cash flows for the next 10 years.
Paul Quinn: Okay. That's helpful. And just on the issue of contractor availability, I'm sort of confused by this because -- I mean, I seem to have covered the company for about a decade. It never really came out it used to be a pretty stable business. What's the issue there?
Adam Sheparski : Yes. I think high level, we have an industry where there's a shortage of workers in both Maine and New Brunswick right now. And we're looking at it. Interestingly enough, just a little bit more color depending on which side of the border, there's a little bit of a different situation. So in New Brunswick, we're missing truckers and hauling capacity, which we've been focusing on significantly over the last four, five, six months to try and figure out the problem. We've done a lot of research, gathered a lot of data.  Obviously, the rates have changed, which you've seen in our variable costs. And so we're continuing to work with our truckers, and we believe that we're going to have a little bit more capacity come on board here over the next couple of months.  In Maine, a number of things happened. We had some truckers that retired -- actually, sorry, in Maine, it's harvesting, and we had some harvesters retired in the last 12 months. But again, fortunately, again, since January 1, we did get a couple of more contractors, a couple of more pieces of equipment onto the land base, and we were able to increase our capacity by about 30%. Now there's always challenges, but the stated capacity should come up about 30%.
Paul Quinn: All right. So in terms of 2023 harvest volumes, what are you currently planning for?
Adam Sheparski : Yes. We haven't stated that, Paul. And given what we've gone through over the last 12 months I'm not sure we're about to state it today. We'll have a lot better feel for it when we -- you see us again in May.
Paul Quinn: Okay. So you can't give us any guidance on any kind of volumes that you're going to harvest in '23.
Adam Sheparski : Well, I would say we're planning to recover what we've lost in 2022, back to what I would call a normalized level, but we're not -- as you know, we don't give guidance.
Paul Quinn: Okay. So if I look at the last 10 years on that sort of 1.25 million total average. But this year, you're kind of at 9.15 million [ph]. Will you make up that difference plus get back to the average or --?
Adam Sheparski : We won't get back to the average. I would look probably closer to our last few years as opposed to the last 10 years.
Paul Quinn: Okay. Thanks very much. Best of luck.
Adam Sheparski : Great, thanks Paul.
Operator: Thank you. And I'm showing no further questions in the queue. I'd like to turn the closing back over to Adam Sheparski for closing comments.
Adam Sheparski : Thank you. On behalf of the Board and management of Acadian, I would like to thank all of our shareholders for their ongoing support. Thank you. Stay safe, and we look forward to you joining us for our Virtual Annual General Meeting and First Quarter of 2023 Conference Call, both on May 4. Goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.